Operator: Good morning, ladies and gentlemen, and welcome to Comcast Corporation First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Please note this conference call is being recorded. I will now turn the call over to Executive Vice President, Investor Relations, Ms. Marci Ryvicker. Please go ahead, Ms. Ryvicker.
Marci Ryvicker: Thank you, operator, and welcome, everyone. Joining us on today's call are Brian Roberts, Michael Cavanagh, Jason Armstrong, and David Watson. I will now refer you to slide two of the presentation accompanying this call, which can also be found on our Investor Relations website and which contains our Safe Harbor disclaimer. This conference call may include forward-looking statements which are subject to certain risks and uncertainties. In addition, during this call, we will refer to certain non-GAAP financial measures. Please see our 8-K and trending schedule issued earlier this morning for the reconciliations of these non-GAAP financial measures to GAAP. With that, I will turn the call over to Michael Cavanagh.
Michael Cavanagh: Good morning, everyone, and thank you for joining us. Before Jason gets into the details of our first-quarter results, I would like to spend some time on three topics that are top of mind: convergence, business services, and theme parks. Let me lead into those by anchoring the discussion in the two overarching elements of the management team's approach to running the company. First is that we are focused on shifting our business mix toward growth by investing in six areas where we are extremely well-positioned: residential broadband, wireless, business services, theme parks, streaming, and premium content in our studios. We are seeing the effects of this strategy build as time passes. This quarter, these six businesses represented a percentage of total revenues, helping drive 2% EBITDA growth, 5% adjusted EPS growth, and $5.4 billion of free cash flow. The second is our proven commitment to our capital allocation strategy, which balances robust disciplined investment in these growth areas, maintains one of the strongest balance sheets, if not the strongest, in the industry, and returns substantial capital to shareholders. Together, our steady shift in business mix to a diverse group of growth areas, combined with our strong balance sheet, allows for steady execution against our strategy even as the level of uncertainty in consumer and capital markets has meaningfully increased in the past several months. While we do not see any noteworthy evidence of economic challenges thus far, the odds have increased that challenges may be approaching, but we are well-positioned to handle whatever lies ahead. Now let me hit the areas I'd like to comment on more deeply, starting with convergence, where, as we've consistently highlighted, we are structurally positioned to win. Today, we are the only operator offering gig Internet and gig wireless ubiquitously to 64 million homes and businesses across 39 states, giving us the largest converged footprint in the country. When you look at just the geographic markets we serve, our gig-capable converged footprint is more than double our competitors combined. As we've discussed before, our network upgrade plans will ensure that our network leadership and product capability remain ahead of the competition. But the true measure of a customer's connectivity experience lies in its performance within their home. That is where we excel given our superior Wi-Fi. Reliable connectivity throughout the home continues to be ranked as the most critical element influencing customer choice of broadband service, and we lead the industry in delivering this experience. In fact, the latest fixed broadband report by OpenSignal ranks us highest in reliability in our footprint. We continue to make this Wi-Fi experience even better. An example being the recent launch of our most powerful gateway yet, the XB Ten, which enables industry-leading multi-gigabit symmetrical throughput and supports up to 300 connected devices with increased speeds and reduced latency. The importance of Wi-Fi extends to our mobile service as well. Ninety percent of all mobile data, whether in or out of the home, travels over Wi-Fi, giving us another clear advantage. We have the largest and fastest Wi-Fi network in the nation that delivers unique benefits to our customers with features like Wi-Fi Power Boost, which automatically upgrades Xfinity mobile devices to gigabit speed whenever customers are connected to one of our 23 million hotspots, regardless of their subscribed Internet speed. This feature helped us earn the distinction of being the fastest mobile provider according to Ookla's January 2025 Speed Intelligence Report. However, and this is a big however, in this intensely competitive environment, we are not winning in the marketplace in a way that is commensurate with the strength of the network and connectivity products that I just described. Dave and his team have worked hard to understand the reasons for this disconnect and have identified two primary causes: one is price transparency and predictability, and the other is the level of ease of doing business with us. The good news is that both are fixable, and we are already underway with execution plans to address these challenges. Steve Croni, who Dave appointed as Chief Operating Officer of Connectivity and Platform, is driving the changes in our go-to-market strategy and other operational improvements with the highest urgency. One of his first priorities was to recruit a growth-focused leader, and we announced the hiring of John Guizelman for the newly created position of Chief Growth Officer of our domestic residential business. With decades of experience at Apple, Expedia, and DIRECTV, managing world-class brands in highly competitive markets, John is a fantastic addition to the team, and we're excited for him to join later this month. Second, we are simplifying our pricing construct to make our price-to-value proposition clear to consumers across all broadband segments. Just last week, we introduced our first-ever nationwide price guarantee for broadband, which includes Xfinity's best-in-class gateway and unlimited data for one simple monthly price that is locked in for five years with no annual contract required. Customers who sign up for this plan also have the option to add a free mobile line for one year. We are not done. Providing more value to our customers with less complexity and friction is a top priority, and you will see our go-to-market approach continue to evolve over the coming months. Third, we are driving growth in Xfinity Mobile. The benefits are clear as we see an 80% improvement in customer lifetime value when we add wireless service to our broadband-only customer relationships. We started prioritizing mobile attachment towards the end of the first quarter, offering one unlimited line free for twelve months for all new and existing broadband customers who take our traditional and premium level products. This resulted in the best quarter of new wireless net additions in two years, bringing our total wireless lines to 8.1 million. Last week, we introduced our first-ever premium unlimited wireless plan delivering gigabit speeds with 4K ultra-high-definition streaming, more Wi-Fi hotspot data, advanced spam call protection, and a guaranteed device upgrade. With mobile penetration at only 30% of our residential broadband customer base, we have plenty of runway ahead to leverage wireless as a key component of our connectivity bundle with our industry-leading broadband product. While we are glad to be underway with a refreshed approach to the market, we anticipate that it will take several quarters for our new approach to gain traction and impact the business in a meaningful way. My second topic is business services, which has tremendous momentum and now accounts for almost 25% of the revenues of our entire connectivity business. We built business services, which is now approaching a $10 billion revenue generator from the ground up and have consistently outperformed peers with mid-single-digit revenue and EBITDA growth and with margins in the high 50% range. Within the small and medium-sized business segment, we are the market leader and have done a phenomenal job at deepening customer relationships. We've consistently grown ARPU in the mid-single digits for the last few years, with over half our small business relationships purchasing more than two products. We remain excited about the opportunity to continue advanced product selling, including our cybersecurity services and Comcast Business Mobile. Within the enterprise solutions segment, we are capitalizing on the significant opportunity to increase our market share and grow customer relationships. We've consistently grown sales and revenue in this segment in the high single digits. Today, our largest enterprise customers purchase over seven products from Connectivity, which is always going to be the core driver of our business. However, three years ago, for every dollar of connectivity we sold in the enterprise segment, we sold $0.20 of advanced solutions. Today, for every dollar of connectivity services we sell, we sell approximately $0.50 of advanced services, further solidifying our right to win in the market and providing more value to customers. We've done this through a mix of organic investment and M&A. The Masergy deal advanced our secure networking and global capabilities. A NITEL acquisition, which closed on April first, builds upon this playbook by providing enhanced network aggregation capabilities, increasing our channel presence, and providing more robust enterprise solutions. My third and final topic is theme parks, which have been on an incredible growth trajectory, having generated $3 billion of EBITDA in 2024, up from around $1 billion ten years ago, as a result of significant investment in the business, along with the excellent execution by the team leading Universal Destinations and Experiences. Now we are just four weeks away from the May 22nd grand opening of Epic Universe, our most ambitious and technologically advanced theme park to date, with iconic IP from Harry Potter, DreamWorks, How to Train Your Dragon, Horror with Dark Universe, and Super Nintendo World. Epic Universe doubles the size of our park footprint in Orlando, transforming our collection of resorts into a week-long vacation destination. We have seen strong demand since launching EPIC ticket sales in the fourth quarter of 2024, and the most recent reaction to early previews has been nothing short of phenomenal, with thousands of media stories, social posts, and fan reviews characterizing Epic as having groundbreaking creativity and taking immersive entertainment to a whole new level. Beyond Epic, we're continuing to grow our parks business across the United States, starting with Universal Horror Unleashed, our first permanent year-round horror entertainment experience opening in Las Vegas this August. In 2026, we will debut our first-ever Universal Kids Resort in Frisco, Texas. Earlier this month, we announced plans to build our first-ever Universal theme park and resort in Europe, with construction starting in 2026 and a grand opening scheduled for 2031. This park and resort will be located in Bedford, England, right outside London. The United Kingdom is an incredibly attractive market, with its large population, a strong tourism industry, favorable transportation infrastructure, and close proximity to the rest of Europe, especially considering the announced expansion plans at nearby Luton Airport. All these factors make this location an ideal one for Universal theme park and resort expansion into the European market. So those are some of my thoughts to frame today's call, and I will now turn the call over to Jason Armstrong to provide a detailed overview of our first-quarter results.
Jason Armstrong: Thanks, Mike, and good morning, everyone. Let me start with a high-level overview of our consolidated results before getting into more detail on our businesses. Consolidated revenue was in line with last year's first quarter. We've been clear and consistent that we're investing behind six major growth drivers, and these six grew to a mid-single-digit rate and represented close to 60% of our total revenue in the quarter. EBITDA grew 2% this quarter, adjusted EPS grew 5% to $1.09, and we generated $5.4 billion in free cash flow, growing free cash flow per share by 26% while returning $3.2 billion to shareholders, including $2 billion in share repurchases. Now, turning to our businesses and starting with connectivity and platforms. I'd like to start with broadband, where the competitive environment remains intense. While we continue to see muted connect activity, we also saw a slight uptick in churn off of record low levels. This contributed to the loss of 199,000 customers in the quarter. However, broadband ARPU grew 3.3%, leading to growth in broadband revenue of 1.7%. As Mike mentioned, we feel great about our network position. Simply put, we compete really well against any technology out there. We feel equally great about our position in the home, where our Wi-Fi coverage and control are second to none. We're addressing current customer pain points and investing in go-to-market with a focus on pricing transparency and simplicity, a unified national approach, and more products translating into more value for our customers. This will require investment in the form of already launched long-term, all-inclusive price guarantees and other actions we will take in the coming months. Over time, this will help us mitigate customer churn from promotional roll-offs and better insulate our customer base. On convergence, we said we would lean into wireless. The repositioning of our offers during the first quarter was evident in our results. We accelerated wireless net line additions to 323,000 in the quarter, both an improvement year-over-year and sequentially, bringing our total wireless lines to 8.1 million. With penetration at just 13% of our residential broadband customer base, we have significant runway for growth and expect continued momentum in subscriber growth in the coming quarters. Wireless plays a growing role in deepening customer relationships and reducing churn, and the structure of our wireless business with a strong MVNO partnership, industry-leading offloading onto Wi-Fi, and an advantage in customer acquisition as we target our existing base provides us solid profitability in wireless and the option to reinvest some of this profit as we lean in to accelerate the growth of our wireless customer base even more. At business services, both revenue and EBITDA grew roughly 4%. We have a leadership position amongst our peers when it comes to growth in this segment. Our strong performance this quarter was again driven by the framework that we've been operating in for some time. While we are experiencing an elevated level of competition in SMB, we continue to generate healthy revenue growth by driving higher adoption of our suite of advanced services, which deepens the relationship with our large base of customers. Our enterprise segment is an even stronger contributor to growth and one in which we are just scratching the surface. Earlier this month, we closed on our acquisition of Nitell. This is a great tuck-in acquisition that strengthens our ability to deliver advanced, reliable connectivity solutions, enhancing Comcast businesses' competitiveness in the managed services space. Nitell's network aggregation capabilities and network-as-a-service offerings broaden our ability to service our customers, and their indirect channel distribution strategy magnifies our mid-market and enterprise presence. Our results in the second quarter will include Nitell, which we expect will add a few hundred basis points of revenue growth to business services with a minimal impact on EBITDA growth in the near term. Putting all this together, overall connectivity and platforms revenue in the quarter remained consistent with the prior year, as 4% growth in our connectivity businesses, including residential broadband and wireless, together with business services, was offset by revenue declines in video, advertising, and other. EBITDA grew 1.5% in the quarter, while margins expanded by 80 basis points, reflecting the growth and continued benefit from our mix shift to our connectivity businesses as well as our ongoing focus on operating efficiency. In content and experiences, there are several key items I would like to highlight. At Parks, we're really looking forward to Epic Universe. All of the earlier reviews have been spectacular, and we're incredibly excited for the transformation Epic will bring to visitors in the Orlando market. As we gear up for the May 22nd opening, we incurred incremental costs, which landed at about $100 million in the first quarter. This is in line with what we had previously communicated. Looking past these preopening costs, underlying results in the quarter indicated stable trends in Orlando, giving us confidence that we are entering the Epic launch from a position of strength. In addition, performance at our international parks remains strong, but we are seeing softness in Hollywood due to the aftermath of the wildfires and our proximity to these areas, which impacted our results in the first quarter. We expect the recovery at Universal Hollywood to be a gradual one. Turning to studios, results this quarter were driven by the strong carryover success of Wicked. After an impressive theatrical run, Wicked continued to deliver great results in premium window sales and became Peacock's most-watched pay one movie. Looking ahead, we are excited to launch two of our three tentpole releases back to back in the coming months: First up is How to Train Your Dragon on June 13th, followed by Jurassic World Rebirth on July 2nd. In media, total advertising revenue was down 7%, mainly due to the volume and timing of sports content along with tough political comparisons. Excluding this, advertising was relatively flat. While we have not yet seen any impacts from the current macroeconomic uncertainty, advertising is the category that has shown the most economic-related cyclicality in our business historically. However, for the upfront and for the balance of the year, we feel well-positioned in the market as we capitalize on the NBA launching the fourth quarter, a healthy Peacock subscriber base and a strong content offering across entertainment and news. Our overall media results this quarter were powered by the meaningful progress we are making in our pivot to streaming. Peacock delivered double-digit revenue growth and a more than $400 million year-over-year improvement in EBITDA losses. In part due to lower expenses compared to last year when we streamed the exclusive NFL Wildcard Game but also driven by the improved monetization of Peacock paid subscribers. We ended the quarter at 41 million paid subscribers, with net additions in the quarter driven by the entitlements from the Charter bundle we introduced at the end of the quarter. When we launched Peacock in 2020, we anticipated that bundling would become an important piece of the streaming ecosystem. So we pursued a content strategy that would appeal to a broad audience. In addition to our pay-one films coming from our studios, over 80,000 hours of entertainment content, including originals, and next-day air content from NBC broadcast and Bravo. A critical piece of that strategy is our focus on sports. Today, we offer more premium sports than any other streaming service, including the NFL, the Olympics, Premier League, Kentucky Derby, Big Ten, and then starting this fall, we look forward to adding the NBA. Summing it all up, our capital allocation priorities are centered on reinvesting around growth in six key categories and consistently returning significant capital to shareholders, including $13.1 billion returned over the past twelve months. We are in an incredibly strong position to successfully execute the tough decisions we're making in the face of elevated competition in certain areas. We've been clear on the benefits of a strong balance sheet, cash flow, and diversification, allowing us to invest consistently through various credit cycles, the pandemic, and importantly, macroeconomic cycles where we are broadly insulated and positioned to play offense. Our results in the first quarter underscore the success and the consistency of our strategy. We generated $5.4 billion in free cash flow while investing $2.9 billion in capital back into our businesses. At the same time, we maintained a healthy balance sheet, ending the quarter with net leverage at 2.3 times while returning $3.2 billion to shareholders, including $2 billion in share repurchases. Marci, I will now turn it over to you for Q&A.
Marci Ryvicker: Thanks, Jason. Operator, let's open the call for Q&A, please.
Operator: Thank you. We will now begin the question and answer session. If you have a question, please press star then the number one on your touch-tone phone. Our first question today is coming from Craig Moffett from Oppenheimer. Your line is now live.
Craig Moffett: Hi. Thank you. Two questions, if I could. First, maybe thinking about the theme parks business a little bit. Mike, maybe could you just dig in a little bit more into what you're seeing now? We've seen some very significant drops in international travel to the United States, for example, and some anti-American sentiment ultimately affecting travel patterns. So I'm wondering if you can just share what you're seeing about the theme parks and how you think that might impact the 2025 results even with Epic. Then for the broadband and wireless bundles that you're offering today, it's a question that everybody has been focused on the wireless side. You guys are subsidizing handsets, and if the price of handsets rises significantly with tariffs, would it be your anticipation that you would increase your subsidies accordingly, or would you expect to pass those higher costs on to customers?
Michael Cavanagh: Hey, Craig. So it's Mike. I'll start on parks and then hand it over to Dave. On theme parks, our first quarter results continued to be stable in Florida. We had preopening expenses for Epic Universe, but excluding that underlying trend is stable in Orlando. What we're seeing for advanced bookings, both ticket sales and hotel bookings, are strong for the overall parks and for Epic. While I see the same headlines, you're seeing about airlines and the like. Some of that might be outside the window of our booking windows, but what we are seeing continues to be tracking, well. To your point, some of that is definitely related to the excitement about Epic. Without a doubt, the reviews and preopening buzz are very strong. Ticket sales and advanced plans are, a little ahead of our expectations. We feel, right now, what we see is continued steadiness in the backdrop for parks. One thing that you have to know, is our domestic parks do draw a lot of folks from the US, and a lot of folks from markets in the south in the case of Florida, that are not necessarily hopping on planes to get there. There may be a delayed effect between what the airlines are starting to report on and what we see. But like I said, no real sign of that in our business as we sit here now. In LA, it's all related to getting LA back to having the tourism industry broadly recovered after the wildfires. The whole market is continuing to see people staying away a little bit more than I think the leadership in LA broadly or us as a parks owner in that market would like it to be. That's domestic parks and international trends. For Beijing stable as well.
David Watson: Hey, Craig. Dave. So and wireless, and how it's positioned within packaging bundling, Let me start with, we, we are a challenger. It's good to be a challenger in any environment, including this one in particular, as I think customers are looking for savings, and I think we're in a great position and a really important part of our convergence and packaging approach, wireless is a huge piece of it. We know our new offers at the end of Q1 were part of having one unlimited line free for twelve months for all new and existing broadband customers and taking traditional premium-level products. It's resulted in a great quarter to start with. We're rolling here, and we expect continued acceleration in coming quarters with it. We're leveraging Wi-Fi. It's a different experience with Power Boost and many other things that Mike and Jason talked about. When it comes to the overall marketplace, the other good part of wireless is the source of business. We're upgrading the overall base of customers' broadband into wireless. Their wireless base itself is upgrading. We're a great choice for bringing your own device, and so that is an option for us. Throughout this, we want to be where the customer is. That's where we're constantly focused on. It comes to macroeconomic and other issues, we've figured it out, whether it's competitive intensity, we think we'll manage through it. We have good offers on devices. We'll see how things go. But our core service offerings provide substantial value. That is our focus, and we'll continue to be that.
Marci Ryvicker: Thanks, Craig. Operator, next question, please.
Operator: Certainly. The next question is coming from Jonathan Chaplin from New Street Research. Your line is now live.
Jonathan Chaplin: Thanks, guys. Just one question for me. I'd love to get a sense in your project Genesys markets to what extent you're seeing benefits in terms of stronger gross adds from the ability to offer faster speeds, lower churn, better ARPU, improved OPEX, etcetera.
David Watson: Well, it's an important part of our upgrade initiative, and it's helped us, I think a core piece of our strategy is constant innovation and upgrades to existing services. It has resulted in upstream speed improvements, downstream speed increases. It has been an important part of our positioning for the near term and long term. We have a substantial part of our market that has already, you know, reached this point. Our main focus, as I zoom out, just a bit more in terms of broadband, is really addressing the key pain points that both Mike and Jason talked about. That's where the focus is. The good news is, as you look at things in our network, Genesys being a big part of it, positions us quite well. Broadband customers with us, more broadly across the industry, are doing more. That's why we continue to invest in the services for the long term. Bandwidth consumption continues to be robust. It was up 10% per subscriber last quarter. More devices are being connected per household, and every secular trend in that respect is positive. That's a great starting point. However, the thing that we've seen and what we're trying to address, we believe there's been a durable change in the competitive intensity, already intense but continues to be so. We're really well-positioned with our network. Genesys is a piece of it, and our products, but the pain points in pricing transparency and the simplicity and ease of doing business with us. That's what we're responding to. One of the main points is with the price lock equipment inclusions, all-in pricing around that, and free mobile lines, and some other things that we have coming. That's our focus around and the reason why we're optimistic about where network consumption is going, but nothing specific at this moment in terms of any of the churn benefits related to just Genesis. I think the pain points over time that we're addressing with the new go-to-market approach will be where the benefits will come from.
Marci Ryvicker: Thanks, Jonathan. Operator, next question, please.
Operator: Our next question is coming from Michael Ng from Goldman Sachs. Your line is now live.
Michael Ng: Hi. Good morning. Thanks for the question. I just have two as well. First on broadband ARPU, you know, it's encouraging to see the 3.3% growth in the quarter. I was just wondering if you could talk about some of the drivers there. Then, longer term, as you talk about these go-to-market changes, the five-year price lock, could you just talk about your outlook for what, like, for the three to four percent longer term domestic broadband ARPU growth? What's your commitment level there? How will some of the new pricing and packaging change this, if at all? Thank you.
David Watson: Hey, Michael. This is Dave. So, as I mentioned before, what we're trying to do really, is focus on the pain points in this market. With the five-year price lock, mobile inclusion, and the simplicity of packaging multiple products together, we can execute this tactically, surgically, and do not view it as a broad repricing of our base. We think we can still drive healthy broadband ARPU growth, but these initiatives will require some investment, which in turn will impact our ability to grow EBITDA in the near future. But we view the impact as very manageable. Most important to us is what sits on the other side and how quickly we can get there. That is a customer base with less pricing friction, even more stickiness, a huge lever in wireless with our mobile product exposed to a much larger segment of our base, and the ability to migrate this base into a still-below-market rate that has a lot of upside potential. We're using this as a moment to get away from a model that at least partially relied on deep discounting upfront but then increasingly results in untenable increases after promotional periods. We'll have customers that have long-term certainty on pricing over time that is competitive with market rates, which means they're more satisfied, churn at a lower rate, and carry much higher customer lifetime value. With this, we'll have plenty of room to grow with our customers as they do more on our broadband network and engage more with us in wireless and other offerings. As a company, we've navigated plenty of changes before. This is the right change for our business at this moment and going forward. It's a change we can navigate in a very prudent way.
Michael Ng: Thanks, Mike. Great. Thank you, Dave.
Marci Ryvicker: Operator, next question, please.
Operator: Our next question is coming from Michael Rollins from Citibank. Your line is now live.
Michael Rollins: Thanks and good morning. Two questions as well for me. So first on broadband, could you discuss, how much of the recent losses may be a function of slower industry growth given the maturation of the category relative to changes in market share? If you're seeing differences in performance, where you're in markets that had fiber for some time versus those markets where fiber is just getting introduced. Second on the mobile side, for the mobile gross adds, are you seeing a mix shift in terms of the percent that come from existing broadband customers versus new broadband customers, and how do you expect the new promotions to influence that? Thanks.
David Watson: Hey, Michael. Let me start with broadband. We'll get to mobile. The competitive environment remains intense, as we've talked about. You've got three national providers, fixed wireless. Their net adds have stabilized, it looks like, in general. But they're still marketing aggressively. As you mentioned, fiber continues to overbuild, so we're dealing with that overbuild. Overall, we continue to see the impact of this, muted connect activity. As Jason noted, we did see a slight uptick in churn this quarter compared to the record low levels over the last few years, turned still below pre-pandemic levels. The churn increase was relatively broad-based, though. We saw it across our footprint and in all segments of product mixes. But with a little more, it's in mobile substitution, impact this quarter. As that thus, resulting in our actions and the game plan that we have to address our competitiveness, and simplifying our go-to-market approach and leveraging mobile even more aggressively than we've historically done. We've had some success with buy one, get one. This new mobile offering and including it in a package in as simple as the way that we have is going to add a lot of value. Provide long-term opportunities in a healthy, healthy way in terms of roll-offs of mobile after that first year. Competitive issues are across the board. In mobile, we've seen in terms of the mix, a healthy customer base upgrade mix where we have a large upside of about a percent of our customers, broadband customers that don't have our mobile product yet. We see it as a huge opportunity over time. That has been our focus of Upgrade, but we're also competing fiercely for new customers, and we're well-positioned with bring your own device. These new packages are going to be very appealing most certainly, with the one year included and not asking the customer, it's included. It's part of the package. The other thing too, just to make sure everyone reminding people, we just announced this. We've rolled out a new set of premium plans in mobile. We're interested in every segment. We'll compete for customers and broadband mobile packaging. The new premium mobile offerings, we think, will help us compete a little bit more effectively in the premium higher end as well. Really good news on that. Really encouraged. It's only been a week or so since we've done it. But that would be, I think, a good option for our base. A good option for existing mobile customers and will help us compete for new prospects.
Marci Ryvicker: Thanks, Mike. Operator, next question, please.
Operator: Certainly. Our next question is coming from Benjamin Swinburne from Morgan Stanley. Your line is now live.
Benjamin Swinburne: Thanks. Good morning. Curious if you guys have any update for us on how to think about Peacock losses over the rest of this year. Obviously, Q1 big improvement year over year. Some of that might be to be timing, but it'd be helpful if you could give us a little bit of an outlook for that business over the rest of 2025. Kinda sticking with the theme on the pivot in the cable business or connectivity business, Jason, you mentioned the word investment a couple of times. I think Dave, you did too, in one of your answers. We've sort of been accustomed to watching Comcast Corporation execute with sort of a priority or focus on ARPU growth and margin expansion, and obviously, we've seen the subscriber numbers come in light over the last year or so. What would you tell us to think about at least over the next few quarters as you roll out these plans? Seems like you're already starting to see some wireless momentum. Maybe there's some EBITDA pressure, but I thought it'd give you an opportunity to maybe give us a little more help on how the rest of the year looks as you sort of pivot the model in the business. Thanks a lot.
Michael Cavanagh: Hey, Ben. Good morning. It's Mike. I'll hit Peacock. Jason covered a bunch of this, and you touched on it yourself. But I think looking at what Peacock is and what we've accomplished continued, strong revenue growth. So up 16% on revenues year over year. That's on the back of better monetization of subscribers. We took a price increase last year that stuck, but obviously, translates into impact on subscriber growth. We've obviously taken in the charter subs. Overall, we're scaling up the business, and we're monetizing it well. That drove the $400 million of EBITDA growth together with the absence of the NFL wildcard game. I think it shows the power of the team that's running Peacock, and all of this has been focused on it is to keep driving towards improved monetization and build a product that, we started late, but we started in 2020 with the view that will pursue a content strategy that builds on the strengths of NBCUniversal broadly. We've got 80,000 hours of entertainment, including our pay one movies, next-day NBC, Peacock Live originals, Bravo, and Library. But as we look ahead, we've got MBA coming, and sports has been a very key driver of Peacock with NFL, the Olympics, Premier League, the Derby coming up this weekend, I think, Big Ten, and that's been important, acquiring new subs getting engagement with our subs, and leading to engagement in non-sports content. We continue to think that acquiring the rights to bring the NBA back to NBC and Peacock is a big deal. It's a big accomplishment, a big moment. The team is working very hard to make sure not just within sports but across entertainment as well with the new audience that we'll bring in over the years ahead, and we have it for eleven years. Make sure that we use the NBA as a launchpad to further scale Peacock and further monetize it. I won't specifically talk about the second half of this year, but I do think expect Peacock to be on a continuing trend of driving towards improved monetization, bigger scale, and therefore declining losses over time. You zoom back out, and you put Peacock alongside the non-SpinCo media assets where they're hand-in-glove in terms of the skills, the DNA, and the legacy together with the rights across entertainment, news, sports, reality, and the like. I think it's a business that will have some durability and an ability to manage it as one complete business. But I think expect us to continue to look to see improving trends in Peacock as time passes.
Jason Armstrong: Let me hit the ARPU and profitability questions. So taking my cue from Dave and a lot of what he said already. Yeah. As he said, expect healthy broadband ARPU growth this year. That's what we said on the fourth-quarter call. Continue to believe that. I think the real focus is, you know, setting ourselves up for long-term convergence positioning and revenue growth. That's a lot of what you're seeing at this point. The wireless opportunity plays a big role in that. If you think about our ability to accelerate wireless, which we did in the quarter and expect to continue to do over the year, we're putting in place an expansion of how we're thinking about wireless and extending it into the base. Thirteen percent of our base has exposure to wireless right now. It's a fantastic product. We want more of our base to have it. If you think about the pricing levers we're going to have over time, as you get to the one-year mark and the two-year mark, and free one-year promotional customers roll into a paying relationship, we think that, by the way, is still at a substantial discount to where market rates are. If they have exposure to our product, like our product, they start paying for it at rates that are lower than they can get elsewhere. We think that's a very good trade-off and provides for upside in the future as it relates to how we monetize convergence relationships. On the broadband side, as Dave pointed to it. As we look at the competitive environment, fiber is what it is. It continues to creep into our footprint at three to four percent per year. That's no change from what we've seen in the past years. We've competed against fiber for twenty plus years at this point. It's a very predictable pattern that we haven't really seen changing. It's a pattern where the first three years, there's a significant market share gain, then it levels out, and the patterns we see in those markets, whether it's our own ARPU, churn rates, margins, very much resemble our broader base. It's a segment we know how to compete well against. I would tell you that the newer competitor in the last few years has been fixed wireless. They're adding a million subscribers per quarter, so that's where the competitive intensity we're seeing, that's sort of incremental. We are competing aggressively with it. But if you think about the areas where fixed wireless performed well, they're not leading with network, not leading with speed, not leading home coverage, but they have a pricing construct in terms of simplicity and ease of doing business. That resonated. Exactly what we're going after. That's exactly what the changes in the last couple of months have been. You'll see incremental changes from us going forward. That's the investment activity we're talking about. Dave put some context around that and said, yeah, obviously, this is going to make it more difficult to grow EBITDA this year. We effectively said that last quarter. I think that's where expectations are for us already. But the other side of this, when we get through it is really what we're positioning ourselves for, which is customers that are a lot more durable. They're on price plans that are at market rates with long-term contractual guarantees and then a discounted wireless offering broadly exposed to our base gives us a pricing lever over time.
Marci Ryvicker: Thanks, Ben. Operator, next question, please.
Operator: Certainly. Next question today is coming from Jessica Reif Cohen from Bank of America. Your line is now live.
Jessica Reif Cohen: Thanks. I've got a couple of questions on media. A couple of quarters ago, you said you were open to streaming consolidation. Could you give us your updated thoughts on that? Also, maybe an update on timing of the cable SpinCo. You also announced this theme park in the UK. Could you talk about how you're thinking about the parks with long-term town? As you expand into new markets? I guess finally, I think Jason mentioned that, obviously, the industry not just you, is very vulnerable to this lack of visibility and changing economic environment. Can you talk about anything different than you're doing in your upfront approach? You've mentioned NBA several times as a big driver for advertising. Maybe talk about NBA overall, like, clearly, you'll benefit on advertising and it's a positive for Peacock longer term. What can you help us frame the financial impact as these costs go up? Is there an affiliate fee increase that goes along with it? Thank you.
Michael Cavanagh: So there's a bunch there. Let me tick through those. It's Mike. Jessica. So partnerships on Peacock, I think the point of my earlier commentary on Peacock and what we've built is fair to say that the broad audience appeal of Peacock with everything I described, our Paywan movies, NBC Next Day content, Bravo, The Library, Sports, including NBA, NFL, and the like, makes it a strong element of any future consumer bundle. Whether that be through bundles or partnerships, the point is we're doing our thing to make Peacock what we think the consumer want, will be strong in the marketplace. Opportunities come along to partner up in bundles or otherwise, we'll be happy to consider those things if they make sense. But there's no news to report on that front. SpinCo, your second one, SpinCo continues to no change in our expectation of timing, around the end of the year. For UK Parks, I just spent time answering another question, so I won't repeat myself. But I think we feel very strongly that the returns that we're getting, given our position and strength, in the parks business as we know it today, gives us the right and opportunity to deploy capital in smaller opportunities, which are the, horror experience that will open in Vegas this year and the kids' park in Frisco, Texas next year. But we've looked around the world. We're always looking for ways to put capital to work in our growth businesses. The UK opportunity came along. We feel quite good about the prospects there. But I think to answer the broad question, what's our plan for the parks business, the plan is to keep driving growth in a business that we think we're one of two players in a market that is within media not exposed to the shift in time on screens from, one venue to another. Live experiences parks experiences, have been thrilling to people, and think we lean into that. Continue to do so. Finally, upfront industry vulnerability. Nothing really to add there. All things considered, ad revenue was, flat in the first quarter when you adjust for timing of sports and political. Impacts aren't yet really seen of the uncertainty that we're observing in the markets. But it may well be coming. We've got a great team led by Mark Marshall running ad sales. We're coming up with new products, new ways to leverage all the assets of NBCUniversal as we go into the marketplace. Our content all of it, but inclusive of the new content from NBA is going to be a key anchor of, what we do what we look to do around the upfronts. More broadly, as the future rolls in and we look to monetize Peacock and NBC and Bravo, The stronger the portfolio, the more we deserve to command in all forms of revenue monetization. No news to point to there today.
Marci Ryvicker: Thanks, Jessica. Operator, next question, please.
Operator: Thank you. Our next question is coming from John Hodulik from UBS. Your line is now live.
John Hodulik: Great. Thank you. Maybe back to Dave on broadband. I'm just wondering if the churn commentary that you guys talked about in the quarter and maybe what you're seeing in business, is there any sense that that could be driven by the slowing macro environment, outside of what you may be seeing on the media side? Because it doesn't seem like the competitive environment really changed that dramatically as we went from the fourth quarter to the first quarter. Then digging in a little bit on the business side, is it just small business where you guys see the relationship trends get worse. Are you seeing anything on the government side? Can you talk a little bit about your government exposure after Verizon actually called out a little bit of weakness on the government given what's going on in spending there? Thanks.
David Watson: This is Dave. Talked about competition a lot. The one thing I'll just highlight is the difference is an uptick, a little bit in mobile substitution. That's really know, Mike and Jason talked about, fiber continued three national the fixed wireless stable, but still marketing, know, very aggressively. I think that mobile substitution is the only difference, and it's just an uptick there. In business services, I'd say it most certainly small business pressure in terms of relationships. Our strategy is broad-based in terms of revenue generation in every relationship and even small business. We're adding a lot of products and services to those relationships. Really encouraged by that. Our focus has continued to shift having done a nice job on in small business to mid and enterprise customers. That's where we're getting traction, as we provide complete answers for our customers in those segments as we do connectivity to advanced services and adding a new part of the company, Nitell, which is great. So we're very excited about that, but the pressure is in small business.
Marci Ryvicker: Thanks, John. That will be our last question from the analyst community. I want to now hand the call over to Brian Roberts for some closing remarks.
Brian Roberts: Listening to all this, let me first comment on broadband. Just add my own view where we're clearly facing some challenges, but as you've heard, with a lot of passion, the team has a sense of urgency. Energy and focus on getting customer pain points resolved. While this may take a little time to fully take hold, our history of operational execution success would tell you that although sometimes we may not move first, once we get in motion, we do it extremely well. We have real momentum in wireless, and the path to continue to accelerate that. As we've seen in the market, once it gets moving, it'll allow more creativity in marketing. We have industry-leading growth in business services at scale and investments to expand the opportunities and grow into new categories, making it a $60 billion addressable market. Very excited about that. I don't want to belate it, but I invite all of you to come visit Epic soon. Bring your family. I think you're in for a great experience. Later this year, amazing content, we have a terrific movie slate including Jurassic and Wicked, amazing sports with the NBA as we just talked about, but also we broadcast the Super Bowl, the Winter Olympics right at the same time, and the World Cup, which puts us in a very enviable position. I really like our strategy, our balance sheet strength. Regardless of global uncertainty, I feel we have a fantastic and unique company and am quite optimistic. Thanks, everybody.
Marci Ryvicker: Thank you, everybody, for joining us.
Operator: Thank you. That concludes today's conference call. Replay of the call will be available starting at 11:30 AM Eastern Time today on Comcast Corporation's Investor Relations website. Thank you for participating. You may all disconnect.